Operator: Good afternoon, and thank you for standing by. Welcome to AppFolio's Second Quarter 2025 Earnings Conference Call. Please be advised that today's conference is being recorded, and a replay will be available on AppFolio Investor Relations website. I would like now to turn the conference over to Lori Barker, Investor Relations. You may now begin.
Lori Barker: Thank you. Good afternoon, everyone. I'm Lori Barker, Investor Relations for AppFolio, and I'd like to thank you for joining us today as we report AppFolio's Second Quarter 2025 Financial Results. . With me on the call today is Shane Trigg, AppFolio's President and CEO. This call is simultaneously being webcast on the Investor Relations section of our website at appfolioinc.com. Before we get started, I would like to remind everyone AppFolio's safe harbor policy. Comments made during this conference call and webcast contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and they are subject to risks and uncertainties. Any statement that refers to expectations, projections or other characterizations of future events, including financial projections, future market conditions, business performance or future product enhancements or development are forward-looking statements. AppFolio's actual future results could differ materially from those expressed in such forward-looking statements for any reason, including those listed on our SEC filings. AppFolio assumes no obligation to update any such forward-looking statements, except as required by law. For greater detail about risks and uncertainties, please see our SEC filings, including our Form 10-K for the fiscal year ended December 31, 2024, which was filed with the SEC on February 6, 2025. In addition, this call includes non-GAAP financial measures. Reconciliation of these non-GAAP financial measures with the most directly comparable GAAP measures are included in our earnings release posted on the Investor Relations section of our website. With that, I will turn the call over to Shane Trigg. Shane?
Shane Trigg: Thanks, Lori, and welcome, everyone, for joining us today. I'm pleased with our Second Quarter results, which reflect that we continue to win in the market. Revenue was $236 million, growing 19% year-over-year with non-GAAP operating margin of $26 2%. New business wins, customers moving to premium tiers and increased adoption of our value-added services demonstrate our position as the industry leader. Our market is rapidly embracing AI. Upcoming AppFolio joint research with the Institute of Real Estate Management, also known as IREM shows that in the past 9 months, there has been a 46% increase in property management professionals' plans to use AI or agentic technology in the future. That mirrors our team's experience at this year's NAA Apartmentalize, the rental housing industry's largest event where there was palpable excitement to learn about AI and agentic capabilities. The innovation we showcased at the event was a powerful demonstration of how we differentiate to win the first pillar of our strategy. Our central AI-native platform architecture enables us to rapidly deliver innovation to customers, helping them seamlessly integrate AI into their everyday workflows so they can achieve peak performance for themselves, their residents, their investors and every other stakeholder in the real estate ecosystem. We keep pushing what's possible with our embedded generative AI AppFolio Realm-X. At Apartmentalize, we announced the introduction of full Agentic AI through Realm-X performers, empowering operators to delegate entire workflows to our technology. For example, Realm-X Leasing Performer engages with prospects creates and updates guest cards, enable self-scheduling and rescheduling and seamlessly collaborate with staff members. Similarly, Realm-X Maintenance Performer communicates with residents, asking smart questions to troubleshoot and diagnose issues, accurately triaging repairs. Realm-X Performers and Realm-X Flows, our workflow and action engine, hold the key to unlocking productivity and performance. Our customers are just seeing the possibilities they're living them. Since the beginning of 2025, 96% have utilized one or more of our AI-powered solutions, and they are getting tangible performance benefits. Last quarter, I shared how Realm-X Flows is maximizing and delivering real performance for our customers, from time savings to improvements in lead to showing conversions and lease renewal rates. We've seen this play out again in Q2 with customers who adopted our newest Realm-X Flow collecting around 56% faster. Realm-X is not just about digitizing tasks, it's about leveraging the power of technology to get work done in a new way, delivering measurable performance to our customers' businesses. We expect to hear about more exciting customer outcomes as we announce additional Realm-X Performers throughout the year. One of our newest customers is Northpoint Asset Management out of Salt Lake City, managing over 8,000 single and multifamily rental homes on AppFolio Property Manager Max. AppFolio's pace of innovation and investment in Realm-X were a key factors in their decision to switch technology partners. Adam Haleck, Northpoint's CEO shared "It's essential that our tools evolve with us as we expand our geographic footprint and portfolio. AppFolio will free our team from task-based silos, allowing us to focus on holistic outcomes in unlocking tangible performance." Our second strategic pillar is deliver value efficiently. The important way we're extending the value of our platform is through our partnerships. We continue to rapidly scale our AppFolio Stack marketplace, which seamlessly integrates our customers' preferred software applications with our platform, giving customers more choice and flexibility. Stack now has 80 partners in the marketplace, including recent additions, Amazon Key, Banyan, PlanOmatic, Possession Partner and REBA Rent, more than 4 million units are connected and 77% of our Plus and Max customers have adopted Stack. Beyond Stack partners, we continue to prioritize owning the moments that matter by helping customers get all the value they need without having to leave the AppFolio ecosystem. We are cultivating partnerships with fintech solutions that address and enhance aspects of the resident experience a key initiative for us and an important point of differentiation for our property management customers. Examples include our flexible rent partnership with Flex and the launch of several new deposit alternative solutions with Obligo. We're creating value across the ecosystem, giving residents the easy, convenient and personalized experiences they expect, helping property managers remove friction in managing payments and giving investors predictable returns. And as customer that is leveraging many aspects of our platform to create exceptional experiences for their stakeholders is Phoenix-based Chamberlin & Associates, managing 14,000 units on AppFolio Property Manager Plus, telling us about their use of AppFolio Stack partners, Kellie Martin, Chief Operating Officer said "The integration of AppFolio Stack partners has been seamless. We found the process incredibly easy, just press a button and the integration happens. It simplified our operations and ensure we're working with the best tools available." The third pillar of our strategy is great people and culture. We believe our people have the power to transform our industry, so we cultivate a community that inspires each of us to do the best and most meaningful work of our careers. This culture is reflected in our recent employee engagement survey results where we heard overwhelmingly positive feedback, particularly in areas such as communicating our strategy, belonging and workplace environment where we scored in the 95th percentile of the entire tech industry. According to one employee "a central part of my longevity here is because I truly enjoy who I get to work with. We solve meaningful problems for our customers and have fun doing it." Speaking of great people, I am pleased to announce Tim Eaton has been appointed Chief Financial Officer of AppFolio. Tim has served as Interim Chief Financial Officer since October 2024 and has held other key AppFolio leadership positions, including Chief of Staff to the CEO since joining AppFolio in 2020. He has played an integral role in shaping our strategy, defining our operating model and leading a variety of strategic initiatives. As interim CFO, Tim has continued to demonstrate his leadership by strengthening the finance team and positioning AppFolio for long-term growth and success. A comprehensive search and thorough evaluation of a wide range of candidates ultimately confirmed Tim as the best candidate for the role. Congratulations, Tim, and thank you to AppFolio's finance team for their commitment to delivering outstanding outcomes during this leadership transition. With that, let me share more about AppFolio's second quarter financial results. In the second quarter, we delivered revenue of $236 million, growing 19% year-over-year. Core solutions revenue was $52.5 million in the second quarter, a 19% year-over-year increase driven by more customers choosing our Plus and Max premium tiers, winning new customers and growth in total units under management. At the end of the quarter, we managed approximately 8.9 million units from 21,403 customers compared to 8.4 million units from 20,167 customers a year earlier. This represents a 6% increase in ending units and a 6% increase in customers. Second quarter revenue from value-added services grew 19% year-over-year to $180 million. This increase reflects greater use and adoption of screening, risk mitigation services and payments as well as growth in units under management. In particular, strong screening performance was driven from FolioScreen Trusted Renter, our new comprehensive screening solution that combines advanced fraud detection tools with fair housing compliance. Turning to spending. We exited the quarter with 1,685 employees, which is an increase of 11% from the second quarter of 2024. This reflects growth in most functional areas as we continue to invest in go-to-market initiatives, product innovation and the inclusion of the LiveEasy business, which was acquired in late 2024, partially offset by efficiencies in our operations. Cost of revenue exclusive of depreciation and amortization in the second quarter was flat year-over-year at 35% of revenue. As a percent of revenue in the second quarter, combined sales and marketing, R&D and G&A expense was flat at 38% compared to last year. Sales and marketing increase as a percent of revenue as we invest to win new business while R&D and G&A decreased as a percentage of revenue. Overall, in the second quarter, non-GAAP operating margin was 26.2% compared to 26% last year. With our growth and profitability, we continue to deliver customer value and accelerate our own strategy. In the second quarter, we entered into a strategic partnership with Second Nature to enhance the resident experience which included purchasing a minority noncontrolling equity interest for $75 million. In addition to investing behind our strategic initiatives in April, the Board approved a new stock repurchase program of $300 million, and we bought back 244,000 shares in the second quarter. Year-to-date, we have now repurchased a total of 689,000 shares. Notwithstanding these investments with our strong cash flow, we ended the quarter with $128 million in cash and investment securities. Our 2025 guidance for annual revenue is increasing to $935 million to $945 million for a full year growth rate of 18% based on the midpoint and fueled by Plus and Max tier adoption, growth in customers and new business units and increasing adoption of our products and services. We expect to deliver non-GAAP operating margin between 24.5% and 26.5%, and diluted weighted average shares outstanding are anticipated to be approximately $37 million for the full year. Cost of revenue, exclusive of depreciation, amortization is expected to remain relatively flat as a percentage of revenue compared to the prior year as we believe the benefit from operational efficiencies will be mostly offset by product mix. Our 2025 ending headcount is projected to grow as we continue to invest in high priority initiatives that enable us to achieve our strategic objectives. However, we expect the rate of headcount growth to be less than revenue growth as we maintain our focus on operational efficiency. In summary, I'm proud of our strong second quarter performance. We are acquiring, growing and retaining customers, while delivering exceptional service and our investments in AI and the resident experience are translating into tangible performance benefits for our customers. As we head into the second half of the year, we'll continue to focus on delivering value to our customers through industry-leading innovation and exceptional service. I look forward to seeing many of those customers at AppFolio's Annual Future Conference in San Diego this October. At future, we'll be bringing together leaders to discuss the future of the real estate industry as well as unveiling new products and capabilities that will reinforce our mission to build the platform where the real estate industry comes to do business. Thank you all for joining us today. Operator, this concludes today's call.
Operator: Ladies and gentlemen, this concludes today's conference call, and thank you for participating, and you may now disconnect.